Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Wendy's/Arby's Group first quarter 2009 earnings conference call. (Operator Instructions) I would now like to turn the conference over to John Barker, Chief Communications Officer. Please go ahead, sir.
John Barker: Thanks. Good morning, everyone. The agenda for today's conference call and our webcast will begin with remarks from our President and CEO, Roland Smith, who will discuss an overview of our first quarter results, an update on our strategies to drive performance in our brands, progress we're making on key profit drivers, and future growth for the company. Then our Chief Financial Officer, Steve Hare, will review financial results in greater detail. Roland will then wrap up the call with some final thoughts before we open up the line for questions. Our main focus on today's call will be to discuss the first quarter as well as our plans to grow the business profitability and generate stockholder value. I'd like to summarize for a minute what is included in our financial statements, which are attached to today's earnings release. We provided a full P&L with consolidated first quarter results. Results for the first quarter of 2008 reflect three months of pre-merger results for Triarc and therefore do not include results of Wendy's. You need to understand this difference, when looking at the quarterly comparison between 2009 and 2008, is not meaningful. The statements also include a summary of key balance sheet items and included is a table that shows for the first quarter of 2009 our EBITDA, a reconciliation of EBITDA to the reported net loss, and adjusted EBITDA, which excludes facilities reallocation, corporate restructuring, and integration costs. We also provided selected financial highlights for each brand, with same-store sales, revenues, four-wall restaurant margin percent and the total number of restaurants as of quarter end. We have provided summary pro forma results for the 2008 first quarter in our Form 10-Q that we filed this morning. This summary information should help analysts and investors better understand our operating performance. Please note that our earnings release as well as the financial statements and other historical investor information and our filings are available on the Investor Relations section of our website at www.wendysarbys.com. Now before we begin I'd like to refer you for just a minute to the safe harbor statement that is attached to this morning's release. Certain information that we may discuss today regarding future performance, such as financial goals, plans and development, is forward-looking. Various factors could affect the company's results and cause those results to differ materially from those expressed in our forward-looking statements. Some of those factors are set forth in the safe harbor statement that is attached to the news release. Also, some of the comments today will reference non-GAAP financial measures such as earnings before interest, taxes, depreciation and amortization. Investors should review our reconciliations of non-GAAP terms to the most directly comparable GAAP financial measure. Now let me turn the call over to Roland.
Roland C. Smith: Thanks, John. Good morning, everyone, and thanks again for joining us. On our call today I plan to discuss an overview of our first quarter results, an update on our brand strategies, progress on our merger integration and key profit drivers, and finally, an update on our outlook for achieving our goals for EBITDA growth over the next three years. Let me start with first quarter highlights. We were pleased to deliver $80.3 million in adjusted EBITDA for the first quarter, which met our expectations. This driven by positive same-store sales and margin growth at the Wendy's brand and excellent cost controls throughout the company. Our ability to deliver good performance was encouraging considering that heavy discounting and couponing continued at most QSR chains. Wendy's produced positive North America systemwide same-store sales in the first quarter of 1% as we focused on our Value Trio of sandwiches at $0.99 and our Premium Fish. Arby's sales results improved significantly in March with the introduction of our premium Roastburger line of sandwiches. While Arby's quarterly sales results were disappointing, we continued to make progress on key initiatives to improve Arby's sales built on the introduction of new products, more effective advertising and new operation strategies, and we remain on track with our target of $100 million in restaurant margin improvement at Wendy's and $60 million in G&A savings by the end of 2011. We see meaningful EBITDA growth opportunities as we continue to execute our plans and we remain confident that we can deliver average annual EBITDA growth in the mid teens through 2011. Now I'd like to talk more about our Wendy's and Arby's brands. At Wendy's we produced positive North America same-store sales in the first quarter, up 0.3% at company restaurants and up 1.2% at franchise restaurants. Wendy's company operated same-store sales excluding the impact of removing breakfast from about 300 restaurants were up 1.6%. Same-store sales at franchise restaurants were not significantly impacted by the removal of breakfast. We continue to make progress on the initiatives we launched late last year that focused on improving sales by enhancing our marketing and advertising and re-establishing operational excellence in our restaurants. We promoted our Value Trio of $0.99 sandwiches during the first quarter and our Premium Fish during the Lenten season. In the Value Trio, which is an important element of our marketing strategy to compete effectively in this challenging economic environment, we offer customers a Double Stack, Junior Bacon Cheeseburger, and Crispy Chicken Sandwich for $0.99 each. We advertised this offering as Freakonomics and the ads resonated with customers and scored high in awareness and persuasion. In late April we began featuring our Premium Spicy Chicken Sandwich that reinforces Wendy's quality brand positioning. This month we are introducing two exciting new Frosty products - a Coffee Toffee Twisted Frosty made with real toffee pieces and flavored with coffee and a Frosty Chino Coffee Shake, a hand-spun shake blended with coffee flavor topped with real whipped cream and a drizzle of chocolate. These desserts expand our high quality Frosty brand and provide an opportunity to drive average check and margins. In addition, we are currently reemphasizing our freshly brewed sweet and unsweet iced tea with new merchandising at our pickup window and in our dining room. It's important to point out that we have not yet begun to see the impact of the disciplined R&D and market testing work initiated by our new leadership team last fall; however, this work will be reflected in exciting new products over the next several months. Later this summer we will introduce several new premium chicken offerings. Customer feedback on these boneless wings has been very encouraging and product mix levels were strong in our test markets. We plan to introduce a new signature hamburger this fall to drive sales and enhance Wendy's reputation for serving the best hamburger in the QSR business. And we continue to test the next evolution of our Value Menu by increasing the number and variety of product choices in the $0.99 to $1.99 price range. From an advertising perspective we will significantly increase the focus on high quality ingredients and our fresh never-frozen beef throughout the remainder of the year. Now I'd like to provide you an update on Wendy's breakfast. As we have already shared, we started to reduce the number of company stores offering breakfast in the back half of 2008. In the first quarter of 2009 this negatively impacted our company's same-store sales by about 1.3%, therefore, as I mentioned, our company same-store sales in the first quarter would have been up 1.6% without this impact. Going forward we will report our comps in the second and third quarters. We believe a negative impact from not having breakfast in as many company stores will be in the range of 1% to 1.5%. Currently there are about 600 Wendy's restaurants offering breakfast and we continue to work diligently on revamping our breakfast business with a disciplined plan. Our goals are to significantly improve our breakfast product offerings, lower the breakeven, expand our test markets in early 2010, and prepare for a national introduction by 2011. From a profitability and efficiency perspective we continue to make excellent progress at Wendy's as we effectively manage labor and controllable costs. As we stated previously, we are focusing on improving Wendy's restaurant margin from approximately 12% in 2008 to 17% by the end of 2011, which will produce $100 million in incremental annual EBITDA. In the first quarter of 2009 we delivered 100 basis points in restaurant margin improvement driven by more effective management of labor and controllables. We delivered this 100 point improvement even though our margins were negatively impacted by food cost increases as compared to the same quarter a year ago due primarily to higher beef and chicken costs. We anticipate the adverse impact of commodities to mitigate over the remainder of the year. We previously forecasted commodity price increases of 2% to 4% for 2009 versus 2008. We now believe these increases could be lower than 2% for the full year. And we continue to expect to achieve meaningful margin improvement in 2009 compared to 2008. As we have previously stated, we anticipate improving Wendy's margins by 160 to 180 basis points this year resulting in a run rate improvement by year end of approximately 250 basis points. That would be half of our three-year target. In addition to progress on improving margins, we continued to make meaningful improvements on key operational metrics. For example, we increased the number of A and B level - or very well-operated stores - from 32% of the system in the first quarter of 2008 to 57% in the first quarter of 2009. We also continue to carefully track other key operational metrics. In the most recent quarterly analysis from our QuestStar customer feedback program, customers told us that Wendy's made significant progress in pickup window speed of service. We lowered average pickup window times for our company stores from 134 seconds in the fourth quarter of 2008 to 127 seconds in the first quarter of 2009. This 5% improvement allows us to service more customers during our busy lunch and dinner day parts. In summary, at Wendy's we are just beginning to re-establish leadership in new product innovation. Our focus on operations excellence is producing a better customer experience. We have a clear game plan to deliver same-store sales growth. And most importantly, we have laid the foundation for solid EBITDA growth with our early success in significantly improving restaurant-level margins. Now I'd like to talk about our Arby's business. Arby's same-store sales declined 7.8% in the first quarter, but we drove significant improvement in March following the launch of our new Roastburger line of sandwiches, which feature oven-roasted, thinly sliced roast beef with classic burger toppings. Our same-store sales of negative 2.5% in March represented a 10% point improvement compared to January and February. This was encouraging as we combined an excellent new product with national advertising and a comprehensive public relations launch that generated national TV mentions by news anchors and on late-night TV. The Roastburger line was well accepted by Arby's core roast beef customers and generated a mid teens product mix in March which exceeded our expectations. While recent sales trends at Arby's have softened from the initial Roastburger launch in March, we have retained much of the sales lift from the Roastburger introduction and have begun to promote Roastburger again in May. Roastburger is the first step in our new brand strategy at Arby's focused on medium Arby's customers who visit our restaurants one to three times per month and represent about 50% of sales and customer visits. To increase the frequency of visits among these customers later this year we plan further extensions of our Roastburger line and new products featuring other roasted meats. This strategy will help re-establish Arby's quality leadership and premium positioning in the sandwich category. Now while we remain committed to our premium positioning, our sandwich competitors continue to discount at unprecedented levels and many QSR chains continue to aggressively promote dollar menus. In order to compete more effectively for the value customer we have been testing several value-oriented menu offerings on both new and existing products. We plan to roll out one or more of these new value offerings later this year to better balance our entire menu and pricing strategy. In summary, while there is clearly a lot of work ahead of us at Arby's, we are confident that we can improve sales with our new products, marketing and operation strategies. And if sales improve we are confident that we can regain high teens restaurant operating margins. Now I'd like to shift to a discussion about our merger integration and key profit drivers. We continue to focus on two significant key profit drivers that will deliver $160 million in annualized incremental EBITDA by the end of 2011. G&A savings in the form of efficiencies and synergies represent $60 million of the total. By the end of 2008 we had already realized more than $25 million on an annualized basis of this $60 million target by reducing top level positions and other expenses. We continue to focus on G&A savings and we will make additional progress this year as we implement our shared service center and next year as we complete the rationalization of our IT systems. Also, as I said earlier, we are confident about improving the Wendy's brand margins by 500 basis points at company operated restaurants by the end of 2011, generating $100 million in annual incremental EBITDA. In the first quarter we delivered 100 basis points of margin improvement at Wendy's compared to the same quarter a year ago and we have a detailed plan in place to achieve future margin improvements. In summary, we are right on track with our key profit drivers and I look forward to updating you on our progress in the future. Now I'll turn the call over to our Chief Financial Officer, Steve Hare. Steve?
Stephen E. Hare: Thank you, Roland, and good morning. I will discuss a review of our key P&L items and brand highlights, a brief update on our balance sheet and capital structure, and our financial outlook. As a reminder and as John mentioned earlier, the first quarter of 2009 includes results for Wendy's and Arby's while the first quarter of 2008 only includes pre-merger Triarc results. That makes the quarterly P&L comparison not meaningful. Now let me review our first quarter highlights. As stated in the earnings release for the first quarter ended March 29, 2009, consolidated revenues were $864 million. Cost of sales was $676 million or 78.2% of sales. General and administrative expenses were 12.7% of total revenues or $109.9 million, including $3.7 million of integration costs. Adjusted EBITDA for the first quarter, which excludes integration-related costs, was $80.3 million. Net loss for the 2009 first quarter was $10.9 million. On a diluted per share basis the net loss was $0.02 in the first quarter of 2009 on roughly 470 million diluted shares. The earnings results include net pre-tax special expense items of approximately $26 million or $15 million after tax, including integration-related expenses, impairment, depreciation adjustments, asset write-offs and investment losses. While some of these special items, such as integration-related costs, will continue, we believe it is beneficial to identify these special items to assist in providing a meaningful perspective of the underlying operating performance of the company's restaurant business. Total interest expense of $22.1 million related to borrowing costs for Wendy's and Arby's, but does not fully reflect the impact of the interest rate increase under the amended credit agreement that was completed near the end of the first quarter. Our tax rate in the first quarter of 2009 was 30.6% and included an adjustment of $1.2 million for unrecognized tax benefits in prior periods. Our effective tax rate for the remainder of 2009 is expected to be in the range of 38% to 40%. Now that I have reviewed the consolidated P&L items I would like to discuss our brands' performance for the first quarter in more detail. First, at Wendy's, sales for the first quarter of 2009 decreased to $507 million compared to $513 million for the same quarter a year ago primarily due to eight fewer company operated at the end of the first quarter of 2009 compared to a year ago. Franchise revenues increased to $71.2 million compared to $69.9 million in the first quarter of 2008, primarily due to an increase of nine franchise restaurants year-over-year. Total revenues for the first quarter of 2009 were $578.2 million compared to $582.9 million in the first quarter of 2008. From a development perspective there were five new company restaurant openings as well as 11 franchise restaurant openings during the first quarter of 2009. Additionally, 10 company operated restaurants in Louisiana were sold to a Wendy's franchisee. Recently, [Ameritage,] which is one of our long-standing franchisees, purchased 20 restaurants in the Florida market from another franchisee. We believe this indicates the continued confidence of franchisees in our brand. We ended the quarter with 6,623 Wendy's restaurants in the system, including 1,399 company operated and 5,224 franchise locations. Wendy's four-wall restaurant margin was 11.1% of sales, up 100 basis points from the same quarter a year ago. This reflected our progress on reducing labor and certain controllable costs offset by food cost increases due to higher beef and chicken costs. Now for Arby's, sales for the first quarter of 2009 decreased to $266.2 million compared to $281.6 million for the same quarter a year ago. The decrease was primarily due to lower same-store sales partially offset by an increase of 15 company operated restaurants year-over-year. Franchise revenues decreased to $19.5 million compared to $21.3 million in the first quarter of 2008 largely due to lower same-store sales and partially offset by 32 additional franchisee restaurants. Total revenues for the first quarter of 2009 were $285.7 million compared to $302.9 million in the first quarter of 2008. From a development perspective there was one new Arby's company restaurant opening as well as 17 new franchise restaurant openings during the first quarter of 2009. We ended the quarter with 3,741 Arby's restaurants in the system, including 1,171 company operated and 2,570 franchise locations. Arby's restaurant margin was 14.2% of sales, which was in line with our expectations. This was lower than the 17.1% in the first quarter of last year due to primarily to sales deleverage from lower same-store sales. Looking ahead, we believe our marketing and operations strategies at Arby's will improve sales trends and as we build sales restaurant margins will improve. Now I'll make a few comments about our financial position. We ended the first quarter with $122.4 million in cash and cash equivalents, a net increase from year end of $32.3 million. Due to the timing of the dividend payment, the cash flow for the fiscal quarter did not include a quarterly dividend payment and the cash flow for the second quarter of 2009 will include two dividend payments of approximately $7 million each. Capital expenditures for the first quarter were $17.2 million, which included expenditures for new restaurant development, remodels and ongoing restaurant maintenance for both brands. We continue to expect capital expenditures for the full year 2009 to be consistent with our guidance of approximately $140 million. Long-term debt was $1.1 billion, approximately flat with year end. During the first quarter we completed an amendment of Arby's senior secured credit facility which added Wendy's as a co-borrower. The amended agreement includes a senior secured term loan under which $384 million was outstanding as of March 29, 2009 and a $170 million senior secured revolving credit facility. We were pleased to complete this amendment, which improves our overall financial flexibility. Let me now comment on our financial outlook for the rest of 2009. Wendy's has historically produced about 20% of its annual restaurant EBITDA in the first quarter due to seasonally lower sales; Arby's is less impacted by seasonality. In 2009 we expect our first quarter to represent an even smaller than normal percentage of our annual adjusted EBITDA for several reasons - first, continued restaurant margin improvement at Wendy's as planned initiatives are implemented; second, favorable commodity costs in the remainder of the year versus the first quarter; third, improving same-store sales at both Wendy's and Arby's due to upcoming product introductions at Wendy's and the continued focus on Roastburger at Arby's; and lastly, our fourth quarter will include an additional week, for a total of 53 weeks in the 2009 fiscal year. Our plans for new restaurant openings in 2009 include 10 new Wendy's and five new Arby's - company restaurants. We also now expect franchisees to open approximately 70 new Wendy's and approximately 40 new Arby's in 2009. We anticipate some closings as restaurant leases expire or stores under perform. This should result in our year end restaurant count ending relatively flat with 2008. And with that I will turn the call back over to Roland for some concluding thoughts before we go to Q&A.
Roland C. Smith: Thanks, Steve. We are pleased with the progress we continue to make at Wendy's and we're confident about our ability to revitalize this great brand. While January and February sales at Arby's were disappointing, we significantly improved in March with the Roastburger launch and we are optimistic that we can improve sales over the remainder of the year as we execute our brand strategy focused on new product innovation and a more effective value offering. And our key profit growth initiatives remain firmly on track. We believe Wendy's/Arby's Group represents a compelling investment opportunity for several reasons: First, we are just beginning to re-establish leadership in new product innovation; second, our focus on operations excellence is producing a better customer experience; third, we have a clear game plan to improve same-store sales; fourth, we are effectively managing our costs and reducing G&A; and finally, we have already laid the foundation for solid EBITDA growth with our early success in significantly improving restaurant level margins at Wendy's. In summary, we have a solid plan to generate annual EBITDA growth in the mid teens through 2011. We look forward to updating you on our progress throughout the year, and now let me turn it back over to John.
John Barker: Thanks, Roland. Now I would like to open it up for questions. Considering the very large number of participants on the call we'd ask that you try to limit your questions and we'll work through it. Operator, if you could open the phone lines for questions, we'd appreciate it.
Operator: (Operator Instructions) Your first question comes from Michael Gallo - C.L. King & Associates, Inc..
Michael Gallo - C.L. King & Associates, Inc.: The question I have is on the company margins at Wendy's. Could you talk in more detail, Roland, Steve, about where you saw the 100 basis points of improvement, what areas you're finding more opportunity or less opportunity versus your original expectations, and other than lower commodity costs, other areas that you'd expect to find additional opportunities to improve the Wendy's company operated margins for the remainder of the year?
Roland C. Smith: As I mentioned on the call, we were very pleased with the 100 basis point improvement at Wendy's in the quarter. That came from primarily three areas, labor in a couple of areas, but most predominantly in the area of reducing our labor grid because we spent significantly labor hours for more volume in this quarter than the volume that we had a year ago and that was a big part of our savings. Second, in the area of what we call controllables or CROC, all the costs in the store that we actually manage, you know, kind of nickels and dimes, by our restaurant managers, we saved on average in our stores about $50 a week over the first quarter by just more carefully managing all those expenses by kind of quartiling all of our restaurants and looking at the line-by-line P&Ls to ensure that we understood what restaurants were struggling and helping our restaurant managers cut those costs out of that area. We also carefully managed our utilities. I told a story not long ago about actually having our restaurant managers going to our restaurants early in the morning and carefully decide which kind of circuit breakers they turn on. I know that sounds a little mundane, but if you do that more carefully you spend less energy and you don't peak your utilities. That's a very positive effect on actually how you spend money in the restaurant. And then finally we actually improved in food from the standpoint of how we control our theoretical versus our actual. And what we were able to do was get much closer between theoretical and actual from the standpoint of managing our careful food costs as we went through the quarter. We did have a corresponding negative impact which was commodities that I mentioned. We spent more on commodities in the first quarter of 2009 than we did in 2008, and so we would have actually beat that 100 basis point improvement fairly significantly if commodities had been flat to year ago. I'm pleased to report, however, and I mentioned it in my previous comments, that we expect commodities to mitigate throughout the remainder of the year. And although we initially in our last call forecasted about a 2% to 4% increase in commodities, we now believe it's most likely that it will be below 2%.
Operator: Your next question comes from John Glass - Morgan Stanley.
John Glass - Morgan Stanley: First, Roland, could you just comment a little more specifically on both brands' same-store sales performance during the quarter? I guess specifically I'm interested in how Wendy's progressed through the quarter. You faced a fairly easy comparison, at least on the company side, so how you entered and exited the quarter. And then you talked about the Roastburger's impact in March and April, but could you be more specific? I think people would like to know how much Arby's same-store sales may have backslipped since that launch.
Roland C. Smith: John, what I can say - and you know we don't talk about same-store sales month by month in the quarter - we were pleased with how we actually delivered same-store sales at Wendy's. As I mentioned, if you subtract the impact of the breakfast stores that we closed, which is really the fair way to look at our same-store sales year-over-year, we produced at the company stores 1.6% improvement in same-store sales and, quite honestly, that's without the benefit of the significant impact that we expect to be able to enjoy later on this year as our new product pipeline really starts to take hold and we introduce products like the new Frosty line I mentioned and the premium chicken products that I mentioned that tested well and also the premium hamburger sandwich that we expect to launch in the fourth quarter. From an Arby's standpoint we did get a little bit more specific because we wanted to make sure that you had an understanding of the significant positive impact of the Roastburger launch. As I mentioned in my comments, it improved the trend by 10 percentage points, which is very significant, and we were pleased with that. I did also mention, to be fair, that we saw a little bit of softening of sales as we got into April. And April, just so you know, we weren't on national TV and we weren't promoting Roastburger, so that was not something that really surprised us. I did mention and I'll reiterate that we were able to retain a significant portion of that significant improvement that we made during the Roastburger launch. We have just reintroduced Roastburger on TV nationally the middle of last week. John, I hope you've seen the commercial because we think it's a significant improvement and we think that it's going to drive our sales significantly in the month of May. And we look forward to several line extensions on Roastburger later this year to continue that momentum, along with, as I mentioned in my comments, some other kind of offerings to include chicken and turkey and ham. Also we're excited about a couple of value tests that we have in the market as we speak. It's around the concept of actually a higher price point but a compelling price point for a number of our products. It's being received well. And as I mentioned, we would expect that we'd be able to introduce it later this year to kind of shore up what we need to do from a value standpoint with that customer that continues to be very concerned about how much money they're spending.
John Glass - Morgan Stanley: So it doesn't sound like you're willing to talk directionally then about comps at either brand right now?
Roland C. Smith: I think that's correct, John.
John Glass - Morgan Stanley: The reason I bring that up is I think either that or maybe setting some expectations around EBITDA on a quarterly basis, not for all quarters but the next subsequent quarter, might be useful just in helping people model this business given that it's a relatively new company. Can you comment about what was the impact of food costs this quarter? Can you quantify that so when we look at the margins we think about the food deflation or less food inflation in upcoming quarters?
Roland C. Smith: Yes, John, I can talk a little bit about that. As we looked at our line-by-line P&L and looked at food costs we saw from a year-over-year standpoint a little more than 50 basis points of a negative impact in food costs for the first quarter versus year ago. We expect, as I mentioned, that to mitigate. I've seen a couple of reports yet this morning from folks that are kind of also kind of suggesting that they think commodities will lower as we go up for the rest of the year. And so we think that a little greater than 50 basis point impact of commodities will actually favorable impact us as we go through the remainder of the year. I've talked about a target that we absolutely expect to be able to meet from a Wendy's standpoint of 160 to 180 basis points of improvement by the end of the year. And, quite honestly, if commodities do what we all hope that they will, we think that that will help us get a little higher in that range, enjoy a higher margin improvement.
John Glass - Morgan Stanley: And 50 basis points is both brands combined?
Roland C. Smith: Actually if we added Arby's it would be slightly more than that, but that's close enough.
Operator: Your next question comes from Jeffrey Bernstein - Barclays Capital.
Jeffrey Bernstein - Barclays Capital: First, I guess, a follow on on that question. You mentioned a couple of times your internal targets. I think you said EBITDA met expectation. I'm just wondering, I know we have three-year targets but, perhaps, if you could focus in on '09 based on the current levels? I think you mentioned that your comps were roughly in line at Wendy's and slightly below at Arby's. I'm wondering if you can give some kind of actual versus estimated comparisons? And lastly I think Arby's, you mentioned that the comps disappointed but the restaurant margins were on track. I'm just wondering if you can reconcile between the softening comp and still on track with the EBITDA margin or restaurant margin for Arby's specifically.
Roland C. Smith: I'll try to do that. There's a number of questions there, Jeffrey, but I'll try to knock them off one by one. I guess the first thing I should say is unfortunately in my previous comments I was a little dyslexic. I said 7.8% was the decrease in same-store sales at Arby's for the first quarter when it should have been 8.7% so for the record I'd just like to correct that. So let me talk a little bit about our targets first. As we've mentioned and as we continue to talk about, we have a three-year mid-teen EBITDA growth goal as an average that we continue to believe that we can achieve. Now, because that is a three-year target and because the initiatives that produce that, like the G&A reduction from efficiencies and synergies, the significant margin improvement from Wendy's and same-store sales growth at both brands, and because these are all multi-year initiatives, that's why we speak to you in the terms of multi-year kind of EBITDA target guidance. And so while we are not giving annual targets, as we did say, the first quarter EBITDA met our expectations. And a lot of that was explained, as Steve provided you comments about the fact that our first quarter specifically at Wendy's from a sales standpoint tends to be about 20% of our EBITDA on an annualized basis. This year we believe that that quarterly seasonal split will be even less for the reasons that Steve mentioned. First of all, Arby's had some negative same-store sales in the first quarter that we don't expect to replicate at that level as we get through the remainder of the quarters. Secondly, as I've mentioned, we expect to have significant impact from a lot of new product introductions, both at Wendy's and at Arby's - the extension of our Roastburger loan, some other roasted meats, our value offerings at Arby's. We also have a fajita launch that we expect to - a flatbread fajita launch at Arby's we expect to launch later this year. And then the products that certainly I mentioned at Wendy's which include the Frostys and the premium chicken and the signature hamburger. And also a significant portion of the margin improvement that we are going to attain at Wendy's is yet to be fully realized, although we're making great progress. And so the impact of all of that will allow us to have increasing EBITDA throughout the last three quarters which will make the first quarter EBITDA as a percentage less than what we would typically expect around the 20% level. So that's what's kind of going on with targets and that's how we're talking about what we expect to do from an EBITDA standpoint going forward. I think your last question had to do with food costs. Jeffrey, if you wouldn't mind, could you just repeat the last one? You were asking me a little bit about margins at Arby's.
Jeffrey Bernstein - Barclays Capital: Sure. It looks like, like you mentioned in your prepared remarks, that the comps clearly disappoint at Arby's despite improving in March, but yet you mentioned that the restaurant margins were on track with your expectation for the first quarter. I'm just wondering if you can reconcile that and perhaps talk about the strength of your Arby's franchisees based on the most recent results.
Roland C. Smith: Jeffrey, that's a great question. You may be familiar, certainly we've talked about it in the past, that at the Arby's brand what we've been able to enjoy for a significant number of years is very, very strong restaurant margins based on the way that we manage those restaurants. As a matter of fact, we're making many of the improvements at the Wendy's brand right now because we've instituted some of the same thinking around how we actually manage the restaurants at the GM level. I've talked about this before but probably worth kind of re-mentioning again, at Arby's we've had an ownership mentality which is really kind of based on the fact that RTM, which was the previous owner of the stores that we currently run, was one of the largest franchisees in the world and did a great job of instilling in each restaurant manager the concept that they really were responsible and should run that restaurant like they owned it. And we've taken that same culture and we've put in place similar things at Wendy's and we're beginning to enjoy the benefit of that and that's partially why we were able to generate 100 basis points improvement in the first quarter versus year ago. That culture, Jeffrey, is still in place at Arby's and while over the last couple of quarters we certainly have not produced the level of comp sales that we would have liked to, our restaurant managers continue to be very focused on very carefully managing every single nickel and dime in our restaurants so that even though we have missed some of our expectations of sales we have not missed our EBITDA projections as much because we've been able to protect our margins. We do an excellent job of managing our actual to our theoretical food costs. We have very, very tight labor guidance in our stores and we do a great job of achieving that and probably do the best job on a day-to-day basis that our controllables are managed as carefully as we possibly can. Our managers at Arby's, quite honestly, are very careful from the standpoint of spending money just like it was their own. And we also have a long-standing expertise at Arby's - and now we've transferred that over to the Wendy's/Arby's Group - of carefully managing every G&A dollar. And the combination of all of those things allowed us to, even though we kind of produced negative same-store sales in the first quarter, actually produce margins pretty much in line with what we expected. By the way, an awful lot of that - and I don't want to get into too much specificity as it related to month by month - but when we were able to generate a 10 basis point improvement in the month of March, with the launch of Roastburger we were actually able to take our margins significantly up from January and February and produce margins as high as we've produced for probably the last 12 or 13 months. So that was a very good month for us and if we continue to produce sales results in line with what Roastburger was able to deliver for us we will continue to lift our margins and actually do quite well from the standpoint of delivering EBITDA for the year, which is our expectation.
Operator: Your next question comes from Stephen Kron – Goldman Sachs & Company, Inc..
Stephen Kron – Goldman Sachs & Company, Inc.: A couple of quick follow ups first on the EBITDA line. Just to be clear, the seasonality that you guys are talking about, 20% historically, you did $80 million of EBITDA this year, just doing the math, want to be clear on this, that would imply you're looking at $400 million of EBITDA for the year, but if that 20% proves to be lower this year as far as seasonality, as you guys are indicating, you're comfortable with the north of $400 million EBITDA target. Am I characterizing this fairly?
Stephen E. Hare: I think that's a fair characterization, Stephen, but, you know, those are your numbers.
Stephen Kron - Goldman Sachs & Company, Inc.: Understood. And just, I think, one of the things everybody's maybe struggling with with the $80 million is just putting into context how this compared to last year, because we don't have that number. We do have a full year adjusted EBITDA for the company. Is there any color you could provide for us what the adjusted pro forma would have looked like last year?
Stephen E. Hare: Well, Steve, we do have the pro forma adjusted first quarter in the 10-Q, so you do have operating profit there to work from, so that should be able to get you pretty close.
Stephen Kron - Goldman Sachs & Company, Inc.: And then I guess two other ones. Arby's, it seems as through last quarter there were a couple of different value tests in the works. It seemed as though from your comments, Roland, that there might be one item later in the year that you guys might introduce. I don't want to read too much into it, but it seems as though maybe you're pulling back on the types of tests you're doing. If that's true, is that because of the response you got from the Roastburger and maybe being a little bit more premium is not so bad or is it potentially because some of these other tests aren't really meeting the expectations?
Roland C. Smith: I think it's really your first point, Stephen. Being premium we don't think is bad at all. We love the response from the Roastburger. As I mentioned, it [makes us] in the mid to high teens, which was beyond our expectations and is really significant in the first month of a new product launch. You've followed this business for a long time and know that new products that make somewhere between 5% and 8% are usually considered kind of homeruns. So from the standpoint of the acceptance by our consumer it was beyond our expectations and we're very excited about that. By the way, we have tested a number of value concepts over the last number of quarters so that we could kind of look at how we might speak to some of our more value-oriented customers and we've begun to focus on the ones that are actually performing well and so we don’t believe we need to continue that significant testing because we are kind of landing on one or two that we think fit within the concept of our premium brand positioning but still allow our customers to come in and get our great products for kind of a little less money than they would compared to full price.
Stephen Kron - Goldman Sachs & Company, Inc.: On the CapEx guidance for the full year that you provided, it seems as though this quarter CapEx represented just north of 10% of your full year target yet, if I understood it correct, six of the 15 new units that are going to be built are already built, so can you just explain or reconcile why the back half weighting to CapEx and really what that's going towards?
Stephen E. Hare: Yes, Steve - and that's a fair comment because the 17 does look low - but when we look at the actual timing, for example, we have a schedule of remodels that tend to be sort of backend weighted during the year, so compared to our original expectations we thought that, when we look at the schedule, we think we're still going to average about $140 million for the year when we look at the schedule of construction around new units. Some of the new units that opened during this quarter, of course, with the lead time some of that CapEx actually fell in the previous year.
Stephen Kron - Goldman Sachs & Company, Inc.: Okay, nothing from bigger remodels or anything like that?
Stephen E. Hare: No. You know, the plan that we originally talked about, the 140, is unchanged; it's just in terms of what actually fell in the first quarter looks low. But I would expect that with just the normal spending that we've got approved as part of our business plan we'll still come in around 140 for the year.
Operator: Your next question comes from Larry Miller - RBC Capital Markets.
Larry Miller - RBC Capital Markets: I also had a question on the guidance; maybe we're kind of beating this to death. Can I just get your sense on how you think about this: Commodities are 2% lower than your forecast. To me that’s about $50 million. Are you just being conservative here on your outlook or is it that the weak same-store sales give you a little bit of pause and maybe they ate up a little bit of that upside? And then just a follow on to that, the 53rd week, I didn't know that there was one. I'm calculating about $7 million extra in EBITDA. Is that about right and presumably that's in the plan also relative to that and maybe even pushing down Q1 below that 20% mark as well. Can you comment on that?
Roland C. Smith: Sure can; let me start with commodities. I think it's certainly fair to say that we were trying to be conservative from a commodities standpoint. We were conservative in our original forecast of 2% to 4%. I think we're still being relatively conservative saying that we think it will come in now below 2% as a year-over-year increase from the standpoint of commodities. We're through the first quarter, a little bit into the second quarter, there's lot of runway left this year, and I want to be careful that we don't over promise and under deliver and that's going to be consistently what we try to do as we speak to you and our investors. And as those commodities come down and we continue to see things that kind of help our margins, certainly it will have a positive impact. You know, from a sales standpoint, as I've mentioned a couple of times, certainly the benefit of the significant work we've done in R&D and in improving those teams and also the new strategy that we've developed for Arby's has really yet to take hold and really kind of deliver the results that we are confident that it can. As we get into kind of the late second, third and fourth quarters, there are some significant new product launches that we are very confident are going to drive sales. And, again, that's one of the reasons, as you mentioned, that we believe - and I think as Steve Kron also mentioned - that we believe that the representation of this quarter as a percentage of the total year will be less than what it would typically be. But we are in a very competitive marketplace from the standpoint of sales in the QSR industry. I'm sure you saw the report that went out yesterday that looked at [at-lease crests], you know, kind of look at what they call the first quarter, which is a little bit off from a monthly standpoint; it's December, January and February. And for the first time in a number of years, I think since 2003, the QSR category delivered minus 1% traffic, which is an indication that it's fairly tough. We think that we're doing pretty darn well compared to what the rest of the competitors are doing. We think we have great USPs for both of our brands, some of which has not really gotten to the market so we can take advantage of it yet, but we're making progress on that at Wendy's as we improve some of our products and get some of these premium products out for the consumers to kind of reignite their excitement about the brand. But it is tough out there from a sales standpoint and so, again, we're trying to be relatively conservative. And then lastly, you point out an excellent point, which is absolutely true, which is another reason why this particular year is a little bit off from a seasonality standpoint. That 53rd week will obviously have a positive impact on the fourth quarter which will kind of from a mathematical standpoint have an impact to make it as a higher percentage of our annual EBITDA than it would typically be.
Stephen E. Hare: And, Larry, I would say in terms of the math on that 53rd week, I think if you had built your forecast on a normal year-over-year basis, I think it would be fair to sort of take that forecast and divide by 53 and come out with $7 million or whatever your number is and that should be additive and part of the reason why we think that tilt will be a little more pronounced this year first quarter versus the remainder of the year.
Operator: Your next question comes from Tom Forte - Telsey Advisory Group.
Tom Forte - Telsey Advisory Group: You talked earlier in your comments about the Wendy's Value Menu and thinking about items at $0.99 to $1.99. Is this more raising the price on items that are already on the menu or adding new products to the Value Menu?
Roland C. Smith: Thomas, it is a little bit of both, quite honestly. We're looking at some of our items that we think we ought to reintroduce to the customer because they are great values and they're unique items, like our baked potato and chili, which we don't need to sell for $0.99 because they are unique but I think they are a great value and we are looking at other products that we might be able to put in that range to kind of not only excite people about high quality great products but also kind of cover the fact that some of our consumers continue to be very price oriented. We are in the process of validating what those products are, take it into both quantitative and qualitative testing so that we can introduce this some time later on this year.
Tom Forte - Telsey Advisory Group: And then the second question I had was to the extent your seeing competitive behavior as it pertains to Wendy's with coupons or discounting at both the value end of the menu and the premium side, are there thoughts of a competitive response for Wendy's heavily promoting the Baconator, for example, or some of the premium chicken sandwiches from a price standpoint?
Roland C. Smith: I think it's an excellent point. We believe that because of our USP around particularly our hamburgers - and I think may of you know this, but unfortunately many of our customers have forgotten this - that some of the aspects or attributes of our products, like fresh, never-frozen beef, hand-torn lettuce, all our fresh condiments, our sandwiches that are built to order, we're improving our bacon and our buns and we believe that later on this year we can introduce some premium product items with premium pricing - not pricing that's too high, but still premium pricing - that we believe the consumer will absolutely kind of enjoy and pay the freight, which will provide us great margins and, quite honestly, it will still provide them great value. We have premium chicken coming out later on this year and, as I mentioned, a premium signature hamburger, so I think your thinking is right on and that's something that we certainly plan on implementing.
Operator: Your next question comes from Paul Westra - Cowen and Company.
Paul Westra - Cowen and Company: As a follow up question on your food costs or commodity cost impact, was the impact in the first quarter you mentioned, was that in line so that the improvement in your outlook is going to fall exclusively into the second, third and fourth or did you already start seeing that in the first?
Stephen E. Hare: Let me see if I understand this correct, Paul. We did have a negative impact on commodity costs in the first quarter of this year versus the first quarter of 2008. I said that that was a little bit north of about 50 basis points. And so if you take that into account and mathematically then look at what we would need to do commodity wise in the second, third and fourth quarter to deliver what we're saying conservatively is a little less than 2%, certainly the math would suggest that it would have to come down significantly in order to make that mathematically kind of work for the year.
Paul Westra - Cowen and Company: Yes, I got that part. I was just [inaudible] little bit here. Was the plus 50 basis points or more impact, was that a little bit better than you originally thought or is that in line? In other words, the difference in your full year outlook from 2% to 4% to now a little bit below 2%, is that a sequential change in your forecast starting here in the second quarter or did you already start seeing some of the benefits of better commodities in the first?
Stephen E. Hare: No, we've seen, like many of our other brand competitors that have been a little bit more vocal about that, that was a little better than we expected.
Paul Westra - Cowen and Company: Can you comment a little bit on your CROC lines and maybe some energy, insurance and repair and maintenance? You went through food and labor so far. What are you seeing there compared to your initial 160 to 180 basis points?
Roland C. Smith: Well, as I mentioned before as we've been speaking about this, certainly our CROC line, our controllables, whatever you want to call it, is an area of our restaurants that we think we have a significant amount of savings as we put the culture in place and as we put the metrics in place on a regular basis to kind of look at those lines and actually kind of make improvements. In the first quarter we did see an improvement in a couple of areas in that line, utilities being one, R&M being another and a couple of other of those lines that kind of ended up delivering from a Wendy's standpoint. I know this sounds small as we talk about it in terms of millions of dollars of EBITDA, etc., etc., but it was about $50 a store. But quite honestly $50 a store times the number of company stores per week ends up to add up to a lot of money on an annualized basis and that's one of the things that I think kind of some of our competitors or those that are not quite as capable for managing margins miss. They overlook that small stuff and that's the small stuff, the nickels and the dimes that the managers save on a regular basis, that adds up to make really significant margin improvement over weeks and months and years. And so we've begun to already enjoy those savings. I can tell you that the restaurant managers are very excited about this because now they can see tangible evidence that in fact they really could save money. And one of the issues that I had to deal with when I first got to company was I'd stand up in front of managers and talk about in this 500 basis point margin improvement and I could see that they were worried; their eyes were glazing over because they'd heard it for years and years about they ought to be saving money. But you know what? Just saying you need to save money never makes it happen. So I told them to trust us, let us help you understand the metrics, let us put in place ways so that you can go back and look at your restaurants and actually take actions that will improve. One of the biggest wins we had was just taking a look at the line for telephones on our CROC business. And we quartiled them, like I told you we're doing, looked at the restaurant that were actually doing poorly from the standpoint of what they were paying for telephone service on a monthly basis compared to what the restaurants that were paying a lot less, so that would be a positive kind of difference. And we asked them to go in and figure out why they would be in some cases spending twice the money. Interestingly enough, about half of them that were struggling had two phone lines. By the way, they didn't know they had two phone lines. I mean, that was a fax line probably five or six years ago and faxes aren't in restaurants anymore because we obviously kind of have computers and e-mail. But no one remember to turn it off. And so the phone company's happy to charge you for it as long as you'll pay the bill. And so little things like that multiplied by hundreds and thousands of times are what allow companies to really deliver excellent margins and we're already starting to take advantage of that. As I mentioned, in the first quarter versus the previous quarter of 2008 we saved about $50 a store per week. That's significant and our managers are excited about it; they're getting paid bonus on it. And now they're beginning to look for things, even without our guidance, and that's what's going to deliver this 160 to 180 this year and ultimately will deliver the 500 points that we talk about.
Paul Westra - Cowen and Company: And just one follow up for Steve. Do you see a tax rate going forward in the 38% to 40% range and what should we be using as a general annual number in the years ahead?
Stephen E. Hare: Yes. For the remainder of the year 38% to 40% is a good number for the year. It'll probably be, then, at the low end of that range.
Paul Westra - Cowen and Company: And 38% is a good number for 2010 and beyond?
Stephen E. Hare: For now that's certainly good enough. I think we've had some unusual charges go through the tax provision. I think going forward 38% to 40% should be where we normalize, so I think that's fair for modeling purposes.
Operator: Your final question comes from Mitch Kaiser - Buckingham Research.
Mitch Kaiser - Buckingham Research: Wendy's comp, let's use the 1.6% in the first quarter, was there a pricing factor in there? I'd just like to get a sense of what the traffic was in the first quarter.
Stephen E. Hare: There was some pricing impact in that 1.6%. Traffic across most QSRs continues to be kind of softer than we would like, but the combination of the products that we sold and some of the pricing that we have taken late last year certainly kind of added some positive revenue to the stores.
Mitch Kaiser - Buckingham Research: Was there a positive or negative menu mix in the quarter?
Stephen E. Hare: I'm not sure, Mitch, what you mean by negative or positive menu mix.
Mitch Kaiser - Buckingham Research: Just breaking out the comp by price, traffic and then the mix piece, that third component of the comp, you know, the average ticket excluding any pricing.
Stephen E. Hare: I think it's minimal. We in the first quarter really had two promotions. One we did twice, which was our Trio Value at $0.99, which obviously had an impact on check. But in the middle of that, kind of bookended by Value, we had our Premium Fish, which obviously from a mix standpoint was a premium product at a premium price that helped check. So you balance that all out, probably minimal impact.
Mitch Kaiser - Buckingham Research: On the stores that do have breakfast, can you remind us how many stores have breakfast? Do you plan on keeping that level? And can you give us a sense of how those stores are doing at breakfast?
Roland C. Smith: Yes. We have about 600 stores that are still in breakfast. We have begun to introduce a couple of new products in those stores from the standpoint of work that we've done, probably the most exciting of which is the Panini Bacon Egg And Cheese sandwich that seems to be testing well with the consumers. But I would say the predominance of the breakfast products that we're excited about that we will bring into those restaurants over a period of time is still in the test kitchen and has yet to kind of make it through the quantitative and qualitative tests with our consumers that we want to validate before we take it to the store. And so those stores, from the standpoint of what they're producing on a weekly and a monthly basis [inaudible] is really not relevant because they're still predominantly selling our old menu, they're still predominantly using our old operations system, they still have our old coffee, and so it's just really kind of not helpful from the standpoint of what that's doing. And we're not certainly spending the advertising dollars that we used to from the standpoint of encouraging customers to come in until we can get those new products in the stores and start to talk about why consumers should come into Wendy's for a premium breakfast.
Mitch Kaiser - Buckingham Research: Thank you.
Roland C. Smith: Thanks. So I appreciate all your time. I want to just close with a couple of comments. First of all, I want to reiterate that we met our expectations in the first quarter and while we will certainly take or would have taken more comp sales at both brands, we are making the progress that we expected to make and continue to be optimistic and bullish about the year for 2009 and what we can deliver. I want to reiterate that we think that the Wendy's/Arby's Group is a compelling investment opportunity for a couple of reasons. As I mentioned, we're just beginning to re-establish our leadership in product innovation. Our focus on operations is really starting to provide a better customer experience and that will produce sales over a period of time. We do have a clear game plan at both brands to improve same-store sales. We are managing our costs very efficiently, both G&A and from the standpoint of what's going on in our restaurants. And finally hopefully you've seen that with the first quarter improvement in restaurant margins at Wendy's you can see that we've laid the foundation for EBITDA growth both this year and in the years to come. I think that we will continue to improve sales. There's some time that will be necessary in order for that to come to fruition as our new products get launched into the market later on this year, and I look forward to updating you on a regular basis as you track our success this year and the years to come. Thanks a lot for the time and we'll speak soon.
Jeffrey Bernstein - Barclays Capital: And feel free to call myself or Kay later today with any follow up questions. Thanks.
Operator: Thank you. Ladies and gentlemen, this concludes the Wendy's/Arby's Group first quarter 2009 earnings conference call. If you would like to listen to a replay of today's conference call please dial 303-590-3030 or 1-800-406-7325 with access code 4065554 followed by the pound sign. We'd like to thank you for your participation and at this time you may now disconnect.